Operator: Good morning and welcome to the BancorpSouth Q2 2019 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded.I would like to now turn the conference over to Will Fisackerly, Director of Corporate Finance. Please go ahead.
Will Fisackerly: Good morning and thank you for being with us. I will begin by introducing the members of the senior management team participating today. We have Chairman and Chief Executive Officer, Dan Rollins; President and Chief Operating Officer, Chris Bagley; and Senior Executive Vice President and Chief Financial Officer, John Copeland.Before the discussion begins, I'll remind you of certain forward-looking statements that may be made regarding the company's future results or future financial performance. Actual results could differ materially from those indicated in these forward-looking statements due to a variety of factors and/or risk.Information concerning certain of these factors can be found in BancorpSouth's 2018 annual report on Form 10-K. Also during the call certain non-GAAP measures may be discussed regarding the company's performance. If so, you can find the reconciliation of these measures in the company's second quarter 2019 earnings release.Our speakers will be referring to prepared slides during the discussion. You can find the slides by going to bancorpsouth.com and clicking on our Investor Relations page where you'll find them on the link to our webcast or you can view them at the exhibit to the 8-K that we filed yesterday afternoon.And now I'll turn to Dan Rollins for his comments on our financial results.
Dan Rollins: Thank you, Will. Good morning. Thank you for joining us today to discuss BancorpSouth's second quarter 2019 financial performance. I will begin by making a few brief comments regarding the highlights for the quarter, John will discuss financial results, Chris will provide more color on our business development activity. After we prepare -- after we conclude our prepared comments, our executive team is ready to answer questions.Let's turn to the slide presentation. Slide 2 has our normal greetings from the legal team Will has already discussed.Moving to Slide 3. It was another record quarter for our company from an operating standpoint. We reported GAAP net income for the second quarter of $53.1 million or $0.53 per diluted share. Reported GAAP earnings were impacted in the quarter by two non-operating items including merger-related expenses of $3.1 million associated with the closing and integration of the Grand Bank and Merchants Bank mergers as well as a negative mortgage service rights valuation adjustment of $8.8 million.Accordingly, our net operating income excluding MSR valuation change was a record $62 million or $0.61 per diluted share. This represents an increase of $0.05 per share or 9% compared to both the second quarter of 2018 and the first quarter of this year.We are extremely pleased with our front-line teammates' efforts this quarter on both sides of the balance sheet. We generated net organic loan growth for the quarter of approximately $170 million or 5.2% on an annualized basis.Our newer markets in Texas again contributed significantly to our growth efforts as we reported organic loan growth in Texas of over 16% on annualized basis. We also performed very well in Missouri growing loans 9% on an annualized basis in that market.While Texas has our fastest-growing markets from an economic standpoint, our success in Missouri is a result of our ability to continue to attract and add quality bankers to our team.We were fortunate to have been able to attract and retain experienced relationship managers in several markets across our footprint. While it is not shown on this slide, deposits were only down nominally during the quarter on an organic basis. We were able to overcome most of the seasonal run-off. Total deposits were up $540 million in the quarter or 7.7% annualized -- excuse me up $540 million or 7.7% annualized on organic basis for the first six months of the year which we believe is very good. Chris will comment further on our business development efforts including additional color on specific markets.We again saw improvement in our net interest margin. Our core margin which excludes accretable yield was 3.79% for the quarter compared with 3.74% for the first quarter of 2019. This improvement was attributable both to the two acquisitions that closed during the quarter as well as continued spread improvement in our legacy book of business. John will discuss these factors in more detail.We believe we can continue to protect our margin. However given the current rate environment we are less opportunistic -- less optimistic about being able to further improve the margin from its current level.We continue to be pleased with our credit quality. Our provision for the quarter was $0.5 million which was driven primarily by improvement in our classified asset levels as well as low levels of net charge-offs. Chris will provide additional information on credit quality in just a minute.Finally, we continue to opportunistic in our share repurchase program. We repurchased just over 600,000 shares during the quarter at a weighted average price of $28.21. Year-to-date we have repurchased 1.6 million shares which leaves 1.4 million shares available for repurchase in our current authorization that expires at the end of the year.I'll now turn to John and allow him to discuss our financial results in more detail.
John Copeland: Thank you, Dan. We'll jump right into the numbers. If you'll turn to Slide 4, you'll see our summary income statement. In reviewing the income statement net income was $53.1 million or $0.53 per diluted share for the second quarter.As Dan mentioned a few minutes ago, we did have two non-operating items in our first quarter results. We did have a negative pretax MSR valuation adjustment of $8.8 million and merger-related expenses of just over $3 million.Accordingly, we reported net operating income excluding MSR of $62 million for the quarter or $0.61 per diluted share compared to $55.9 million or $0.56 per diluted share for the first quarter of 2019 and $55.6 million or $0.56 per diluted share for the second quarter of 2018.Our net interest revenue increased 4.9% compared to the first quarter of 2019 and 12.6% compared to the second quarter of 2018. Of course, the transaction closings of Icon Bank in the fourth quarter of 2018 as well as Grand Bank and Merchants during the second quarter this year did impact those comparisons. While these transactions certainly contributed to a portion of the net interest income growth, we have continued to produce some organic growth as Dan mentioned, as well as improvement in our margin.Our reported net interest margin for the second quarter was 3.87%, while our net interest margin excluding accretable yield was 3.79%. Comparable metrics for the first quarter of 2019 were 3.86% and 3.74% respectively. We reported a net interest margin of 371, 3.71% for the second quarter of 2018, while our core margin for that period was 3.63%.As we look at the quarter-over-quarter change from a 3.79% to a 3.74%, approximately three basis points of that improvement was attributable to the two acquisitions that closed April 1. And then about 2% -- sorry two basis points of that five basis points was related to continued spread improvement in our legacy business.And looking more specifically at the components with the margin, the pace of realizing deposit cost did slow considerably during the quarter, as we saw five basis point increase in our total cost of deposits, following several consecutive quarters of higher and more significant increases. As expected, we saw continued increases in yields on both our loan and securities portfolios.As Dan mentioned, earlier while we expect to continue to have repricing opportunity on the asset side of the balance sheet given the current rate environment, we are little less optimistic about our ability to continue the margin improvement that we reported for several consecutive quarters now.Before we move to noninterest revenue expense, I'd like to briefly mention credit quality and Dan alluded to this as well. We continue to be pleased with our credit quality strength. We had a provision of $500,000 for the quarter compared to $500,000 for the first quarter of 2019 and provision of $2.5 million for the second quarter of 2018. We saw linked-quarter improvement in our nonperforming and classified asset levels, while net charge-offs for the quarter were very low at $1.3 million.If you'll turn to slide 5, you will see a detail of our noninterest revenue streams. Total noninterest revenue was $66.3 million for the quarter compared to $64.2 million for the first quarter of 2019 and $72.5 million for the second quarter of 2018.The MSR valuation adjustment that we mentioned is obviously the primary contributor to the volatility in these totals. Outside of the negative MSR adjustment mortgage had a good quarter reporting production and servicing revenue of $9.2 million. The other items shown on this slide were within our range of expectations given the merger activity during the quarter and other seasonal factors.From a comparison standpoint, I would remind you that other noninterest income for the first quarter was somewhat inflated with a $1.2 million gain on the sale of a branch building.Slide 6 presents a detailed noninterest expense. Total noninterest expense for the second quarter was $157.7 million, compared with $150 million for the first quarter of 2019 and $145.2 million for the second quarter of 2018. Total operating expense, which includes merger-related expense and other onetime items, was $154.5 million for the quarter, compared to $149 million for the first quarter of 2019 and $143.3 million for the second quarter of 2018.The expense basis or bases for Merchants Bank and Grand Bank has been approximately $20 million per year combined or $5 million per quarter. Accordingly, these two transaction closings are essentially the primary driver of the increase in operating expense. Beyond that, I don't believe there are any large variances or onetime items that warrant further discussion.I would point out that, as we've been able to grow the bank and hold expenses very stable, our operating efficiency ratio excluding MSR has continued to trend down. For the second quarter, this metric was 65.5%, marking the lowest quarterly level in several years.That concludes our review of the financials. Chris will now provide some color on business development. Chris?
Chris Bagley: Thank you, John. Slide 7 represents our funding mix as of June 30 compared to both the first quarter of 2019 and the second quarter of 2018. Total deposits and repos grew just over $400 million for the quarter. This addition of Grand Bank and Merchants Bank added just over $500 million funding to our balance sheet, which means that on an organic basis deposits and repos declined approximately $100 million during the quarter.As mentioned on previous calls, we typically experience seasonal downward pressure on deposits to be primarily -- our second quarter deposits due primarily to public fund money run-off, outflows for tax payments et cetera. We are pleased in this quarter's performance in that we have typically experienced higher levels of run-off during the second quarter.Year-to-date, deposits and customer repos have increased approximately $560 million on organic basis, or 7.8% annualized. This success is a testament to our bankers' continued focus on cultivating relationships and growing deposits.As we look at pricing, the pace of the trajectory of our total deposit cost declined during the quarter. Our total cost of deposits increased to 68 basis points for the second quarter from 63 for the first quarter of this year. This 5 basis point increase is roughly half of what we reported for the previous several quarters.The increase is driven primarily by the repricing of time deposits, which have weighted average pricing term of close to a year-and-a-half. All that to say, it's still a competitive rate environment, but we are seeing some downward pressure on advertised rates specials and posted rates throughout our markets in our rate survey process.As we look at geographical performance relating to deposits, we have several divisions across our footprint stand out this quarter. The Northeast Mississippi, Missouri, Central Arkansas, Northwest Arkansas and East Texas divisions, all reported strong deposit growth for the quarter.Moving to slide 8, you will see our loan portfolio as of June 30 compared with the first quarter of 2019 and the second quarter of 2018. Total loans and leases increased $588 million compared to March 31, $415 million of which was a result of the two transactions previously mentioned.On an organic basis, we produced net loan growth of approximately $170 million or 5.2% annualized during the quarter. We've said for some time that we're pleased with our pipelines and production levels. We're also pleased to see these efforts result in some meaningful growth this quarter.As we look at our first quarter lending efforts from a geographical perspective, we had several divisions produce meaningful loan growth. Austin, Dallas and Houston, all had great quarters in Texas. In addition, our Missouri, Northwest -- excuse me, Northeast Arkansas and South Arkansas divisions all had great quarters from a loan growth perspective.You'll notice that these comments are, again, heavily weighted towards some of our newer higher-growth markets, particularly the 16% annualized growth in Texas, as Dan mentioned earlier. With that said, as we travel our footprint this year conducting our internal town hall meetings, we've reiterated to our teammates that all of our markets will play an integral role in our growth and success going forward.We need our teammates in our smaller markets to continue to protect our low-cost deposit base and take care of those customers, while our teammates in higher-growth markets take advantage of opportunities to grow on the loan side of the balance sheet.Slide 9 contains credit quality highlights. All of our credit metrics are very stable. As John mentioned earlier, we had a provision for credit losses of $500,000 for the second quarter, compared with a provision of $500,000 for the first quarter of 2019 and a provision of $2.5 million for the second quarter of 2018. Net charge-offs were very low at $1.3 million for the quarter, or 0.04% of average loans annualized.Finally, our NPAs continue to remain manageable and at stable levels, while our classified and criticized assets trended further down during the quarter. We are very pleased with our credit quality. I would again reiterate that our credit metrics are at low levels and they may experience quarter-to-quarter lumpiness, particularly as we continue to close and integrate acquisitions.Moving on to the mortgage and insurance. The tables on slide 10 provide a five-quarter look at our results for each product offering. Our mortgage banking operation produced origination volume for the quarter totaling $495.5 million. Home purchase money volume was $397.9 million, or 80% of our total volume for the quarter. This purchase refi mix is consistent with what we've been reporting for some time now; however, given the recent rate environment we are seeing in our pipeline mix that's shifted more toward 70% purchase money and 30% refinance.Deliveries in the quarter were $304 million compared to $239 million in the first quarter of 2019 and $303 million in the second quarter of 2018. Production and servicing revenue, which excluded the MSR adjustment totaled $9.2 million for the quarter compared to $6.9 million for the first quarter of 2019 and $7.1 million for the second quarter of 2018.Our margin was 2.31% for the quarter, representing an increase from 1.7% for the first quarter of 2019. The margin increase is attributable primarily to the $70 million increase in the mortgage pipeline quarter-over-quarter. Finally, as Dan mentioned earlier, the MSR valuation adjustment during the quarter was a negative $8.8 million.Moving to the insurance. Total commission revenue for the quarter was $34 million compared to $30.2 million for the first quarter of 2019 and $33 million for the second quarter of 2018. As we mention each quarter, we typically benchmark to the same quarter in the prior year, given the seasonality in our renewal cycles in the insurance.Our results for the quarter reflect revenue growth of 3% compared to the second quarter of last year. This is consistent with the comparable quarter growth that we reported for the last couple of quarters, as our team has started to see some price firming in the market. Hopefully, we will be able to accelerate this growth if that trend continues.Finally, while it's not shown on this slide, I would like to briefly mention our wealth management team. We continue to see the benefits of their efforts to add quality producers and to grow assets under management. We reported wealth management revenue of $5.9 million for the quarter, which is a 5% increase over the first quarter of 2019 and a 3% increase over the second quarter of last year. Our team has grown the total assets under management, including trust and brokerage, to over $8 billion.Now, I'll turn it back to Dan for his concluding remarks.
Dan Rollins: Thanks, Chris. Our second quarter results reflect another successful quarter for our company. Record operating earnings were achieved through the contributions of and the hard work of all of our teammates. We added over $400 million in loans and over $500 million in deposits through the mergers with Grand Bank and Merchants Bank. In addition, our bankers produced meaningful net loan growth for the quarter, while also successfully retaining deposits in the quarter that has historically had high seasonal run-off.In addition, excluding the MSR adjustment, our mortgage insurance and wealth management teams all reported revenue growth compared to the prior quarter and the second quarter of last year. This revenue growth, combined with strong credit quality and improving net interest margin and a stable expense base has resulted in continued performance improvement quarter-after-quarter.And with all of that, operator, we're now ready to -- happy to answer questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Jennifer Demba with SunTrust. Please go ahead.
Jennifer Demba: Good morning. How are you?
Dan Rollins: Great, Jenny. How are you?
Jennifer Demba: Good. Two questions. Can you just talk about the strategies to protect the margin with and without rate declines? And two, can you talk about the M&A environment and what you're seeing out there right now?
Dan Rollins: Sure. Appreciated. Strategies to protect margin. That's a good one. We're -- as Chris calls it, it's a hand-to-hand combat. I mean, we're fighting every day to make good decisions. So -- in the deposit side of the balance sheet, I think Chris mentioned, we're seeing some relief on upward rate movement and actually seeing some downward opportunities. Chris may want to jump in on the rate side. On the loan side, it's very competitive. Chris, you want to jump in on any of that?
Chris Bagley: Yes. Jenny, we're seeing competitive pressure on the loan pricing, so there's definitely that out there. I think everybody's anticipating a rate Fed cut. We monitor and survey probably like all of our competitors do throughout the footprint of market posted in rate specials and from the deposit side, so we're monitoring those very closely. So, we picked up our frequency I guess. Our process is to monitor that more frequently when we're anticipating rate moves and we're just paying particular attention to what our competitors are doing and trying to price competitively to protect relationships, but as hard as we can to protect margin if that makes sense. So, it's a global process and its hand-to-hand combat at the same time.
Dan Rollins: Yes. We have not put any derivatives on the balance sheet if that was part of your question. John, I don't know, if you want to add anything on what we're trying to do to protect margin or grow margin?
John Copeland: Well, Jenny, we do have repricing opportunities built into the balance sheet. We do have $2.5 billion in floating rate loans. We have a couple of billion in fixed rate and variable rate loans that we'll be repricing in the next 12 months. They're there. And this hasn't changed much from last quarter. Those loans are at an average rate right now in the high 490s. In the last 90 days, we've been bringing loans on an average of 550 or 560 because we are getting pressure on that certainly, so there's no guarantee that that can continue.So, there is some built-in -- potentially built-in positive repricing in the loan portfolio, in the investment portfolio. We do have about $400 million in mostly agencies that's most of our book rolling off in the second half of the year, probably weighted toward -- more toward the end of the year, rolling off at an average in the 120s. With recent rate moves, we were saying last quarter, those are going to reprise over two, but those are going to reprice and we keep short with three years. So, those are going to reprice in the 190s, something like that. So there is some built-in repricing opportunity there as well. And then, we are seeing some relief on deposit pricing increases as well. So I guess that's kind of the thumbnail sketch of repricing.
Dan Rollins: Thanks, John. Jenny, your second part was on M&A. You talking about, where we are with the current processes or are you talking about forward-looking? I guess maybe both.
Jennifer Demba: Forward-looking actually where I was more interested?
Dan Rollins: Forward-looking, okay. Yes, there's still opportunities out there. So again, we look at what's happening in the market. You've heard me say for a long time, there are plenty of opportunities in the smaller bank, nonpublic bank land. There are conversations being held. There are companies and banks that are trying to decide, how do they compete in today's environment. I don't know, what the catalyst is that causes people to make a decision, but there is lots of activity and lots of talk.Certainly, the volatility in the valuations creates stress points for transactions. You've got public buyers like us and many times the smaller private banks do not equate the value of their bank to the public currency that they might be taking. Their answer is my bank is worth X regardless what happens to the value of your bank. And as you know, that's not realistic in some ways. So some of that discussion has to happen on, what is the value and how is the value tied to what's happening in the market. And the volatility is not helping anybody on that front. But having said all of that, there is lots of talk out there. I think we will continue to see lots of consolidation in the smaller bank world for some time to come. Within our footprint on the larger side, there is been a few transactions, but not very many over the last couple of years and I think a lot of folks in that group are trying to figure out where to go to, but not as actively talking about things as in the smaller bank land.
Jennifer Demba: Thank you so much.
Dan Rollins: Thanks, Jenny.
Operator: The next question comes from David Feaster with Raymond James. Please go ahead.
David Feaster: Hey, good morning, everybody.
Dan Rollins: Good morning.
David Feaster: Just a follow-up on the NIM question, do you have an estimate for what a 25 basis point cut would do to the core NIM?
Dan Rollins: Yeah. John's going to jump in here too. I think his comments earlier were we think we can protect NIM at where we were. So a quarter ago on this call we were talking about our ability to continue to expand NIM and we changed a little bit. John?
John Copeland: We're expecting – David, we're the net interest margin with rate cut that you mentioned to stay virtually flat to sort of where we have been projecting one basis point or two increase, it's probably going to be basically flat. I will throw in and I should have added this in Jenny – as response to Jenny's question. The two pending transactions that we have, we have seen pickup in NIM from the mergers that we've been booking and we may see a couple of basis points pickup in the NIM just from those transactions going forward. So does that answer your question, David?
David Feaster: Yes. Yep. That's helpful. Thank you. And then Texas has obviously been an outside contributor to growth. Is there any specific sectors or regions in this state that's driving that? You've done – you've been pretty active in hiring, how's that going? And how is cross-selling in the fee income side of that market?
Dan Rollins: Yeah. The economy in parts of our footprint is better than the economy in other parts of our footprint and that's clearly the case for the Houston, Dallas Austin markets. There are pockets across the rest of our state footprint that have growing our more healthy economies and parts of our footprint are holding on and not growing as fast as others. So you're seeing that in opportunities. Several things play into that. We have been able to add folks in Texas that have faster pace maybe than we have in some other markets and those are newer markets for us. A couple of us here have had some experience in those markets and we are comfortable in those higher-growth markets.Your question was specifically, are we seeing anything on any particular industry type or any particular geography? And my answer is no. It's anything and everything across all the markets. So, every one of those markets is doing well, every one of those markets is seeing growth. It's a diversified pickup or add in those markets that we're bringing on. Its people related, it's relationship related.On the fee income side, we have been able to add Chris mentioned that briefly we have been able to add some producers or some relationship managers on the wealth management side in the couple of markets that have been helpful in that. And we continue to be able to expand and grow our – excuse me, our insurance revenue. If you look at insurance revenue, quarter-over-quarter I think this was the best second quarter insurance revenue we've ever had. So all of those things are contributing to the health of our organization and we're proud of our team.
David Feaster: Okay. That's great. And then last one for me. We spoke a couple of months ago you talked about seeing more pressure on structures and underwriting standards. Has that improved at all or gotten worse? And are there any specific segments, where you're seeing that be more apparent?
Dan Rollins: Yeah. Chris, you can jump in here with me in a minute, I guess. My comment on structure pricing the non-bank lenders are aggressive and so we continue to see some outsized payoffs, that's the lumpiness in the growth in the portfolio. The non-bank lenders are making long-term fixed rate non-recourse loans that we will not play in. And my guess is most banks are not playing in the non-recourse third-party or non-bank lending world. And then, when you talk about structure, I don't know that I would point to structure as much as just rate pressure. Just in the last week some of the folks that have been announcing earnings, I've seen several that have said, they're not willing to sacrifice growth to protect margin, which means that they're paying or they're slicing price to buy those loans, and we're kind of on the other side of that. We're trying to protect margin and grow in a prudent manner. Chris, you want to jump in?
Chris Bagley: Yeah. Not much to add, I agree 100%. The structure competition would be on leasing it to non-bank lenders. Not a lot of structure craziness in my – what we've seen on the bank side, but the pricing pressure. So pricing has kind of whipsawed as the Fed has been out there saying, we're not doing three bumps. We're going back the other way. So that's driving a lot of the bank price.
David Feaster: Okay.
Dan Rollins: Thanks, David.
Operator: The next question comes from Matt Olney with Stephens. Please go ahead.
Dan Rollins: Hey, Matt.
Matt Olney: Hey. Thanks. Good morning, guys. How are you?
Dan Rollins: Good.
Matt Olney: I guess, first off John I believe you mentioned that a potential July Fed cut would not have a very big impact on the margin. I'm a little surprised that you said that. I think, you have around $2.5 billion of floating rate loans either liable our prime, do you have any index deposits that would offset this, or is it just a short CD book or any color you can give on that?
John Copeland: It's a short book for sure. I'm not sure I can give any much additional color on that, Matt. We did run this through our model, and of course there are lot of moving parts but we're pretty confident that we can pretty much hold the margin.
Dan Rollins: Yeah, I guess I would say that in a different way. So yes we've had some floating rate loans, but you've been hearing us say for the last several quarters that we thought there was an upward bias on our margin. So that upward bias has been there but when you pull that $2 billion in floating rate loans and you mark that back down that's what I think we believe is going to stop the upward bias and help us -- prevent us from growing but we think we can protect margin or maintain margin.
Matt Olney: Okay. That makes sense. And then on the loan growth front, it looks like you only sold a portion of the mortgage production into the second quarter. Was this strategic or just a matter of timing with the strong volume later in the quarter?
Dan Rollins: Yeah. We don't sell all of the production ever. So there's two parts for that answer. So we are producing loans within the mortgage team that are -- products that are not secondary market products alternative lending products in some markets. And so those products have always been portfolioed in our book and we will continue to do that.And then certainly when you're in the end of June, yes production was very high in June and you can't get all that delivered before the end of the quarter. So I think the answer is both.
Matt Olney: Okay. Got it. That’s all for me. Thanks guys.
Dan Rollins: Thanks, Matt.
Operator: The next question comes from Brett Rabatin with Piper Jaffray. Please go ahead.
Brett Rabatin: Hi, guys. Good morning.
Dan Rollins: Good, Brett. How are you?
Brett Rabatin: I’m well. Thanks. I wanted to just talk about mortgage banking for a second and just kind of the outlook there. And then I know it's hard to hedge it perfectly, but just any thoughts on hedging the mortgage a little more going forward and then also wanted to talk about the efficiency ratio as we think about 2020?
Dan Rollins: Okay. Let me take -- let me run those kind of reverse. When you're talking about mortgage future look I'm going to let Chris get in when you're talking about hedging, so let's talk about the hedge. So we hedge our pipeline. We have always hedged our pipeline. And the hedge has been effective on the pipeline.We have not ever hedged our mortgage servicing right valuation. And so you see the big swings and you've been seeing that for years for our company. We are prepared and ready to hedge in that. We made the decision a year or so ago to begin playing and make sure that we could validate the modeling around hedging the MSR valuation, but the low rates where we were the thought process was at the time.If you remember a year ago this time we were expecting a lot more upward pressure than downward pressure. And so we said we've been without a hedge on the MSR for a long time we're going to continue to ride that because we've given up value. So last year we had basically flat value with swing from quarter-to-quarter.This year we're down in the first two quarters on MSR valuation but there really is for all practical purposes not much of a hedge at all. It is hedged a little bit but really an insignificant amount and that's more of a -- what I would call a testing process so that we could be prepared if we wanted to more completely or fully hedge the MSR valuation.Chris you want to go through…
Chris Bagley: Yeah maybe just a production a little bit. So I think it's a combination that in the market, obviously, there's rate. The downward pressure on long-term mortgage rates has driven some refi activity so we're seeing some increase there. But we've also added producers. So some of those producers in some of those markets like Dallas, Houston, Austin where you've got more volume potential are contributing to some of that. And so we feel good about the producers we've added.I think there's upward pressure on activity there and then depending on what rates do that can, obviously, drive it and make it lumpy but with the rate environment the way it looks right now I think we're seeing an opportunity on the refinance side. That's why you see the mix change a little bit.
Dan Rollins: Let me go to your other question on efficiency, Brett. The efficiency ratio John said it's the lowest it's been in a while, it’s actually the lowest efficiency ratio for a quarter this decade. So when we're in the summer of 2019 and that's the lowest efficiency ratio we've reported in this decade, clearly we continue to make progress.However, as you've heard me say many times before, I don't think we're proud of where we are. I think we know that we can continue to improve and get better. So we continue to manage the expense base. We continue to want to grow the revenue side and we continue to believe that we can continue to trend the efficiency ratio in the direction that we're trending now.
Brett Rabatin: Okay, great. That’s great color.
Dan Rollins: Appreciate it.
Operator: The next question comes from Jon Arfstrom with RBC Capital Markets. Please go ahead.
Jon Arfstrom: Thanks, good morning.
Dan Rollins: Good morning, Jon.
Jon Arfstrom: Just a couple follow-ups here. The organic growth was much better this quarter than we've seen in previous quarters and I know only asked a little bit about the mortgage, but even when you set that aside, it was still better. Just curious anything is you feel is different? Is there a change in sentiment at all?
Dan Rollins: Yeah. I don't know that I would go there. Yeah, I think the team is competing and so just like we've talked about other things from credit quality being lumpy to growth, I think the team is out there competing every day. It doesn't take, but a couple of excess sized payoffs from secondary market or non-bank lenders to throw you back in a different direction.So I think we were fortunate in the second quarter that our team was out producing. I think our pipelines look good. Our team is playing every day. I don't know that I see anything, anywhere in our footprint that would lead me to believe there's any unusual activity going on around the ability to grow or hampering the ability to grow. Chris?
Chris Bagley: No, I agree and with both points. One there's always a potential for lumpiness out there, because you're in a competitive loan-moving environment, but remember we've added producers through organic hiring and producers through mergers and those folks are all kind of getting their legs underneath them, so there's some upward pressure there and we're in good markets. So I think we feel good about -- we still feel good about our pipelines and the way we're competing on a -- on -- in throughout the whole footprint. That makes sense.
Dan Rollins: Yeah. We muddied the water up on loan growth for you guys. We report out the loans that were acquired at the beginning of the day whenever the acquisition is. And we almost always are modeling in some attrition or some run-off in those loan books and so you've seen that. This quarter we were able to over -- to outrun that attrition in the acquired books and show pretty good organic loan growth. Some of that is exactly what Chris said. The further we get away from integration time, the more focused on growth the lenders that have joined our team are the new people are coming on board and we continue to -- we've added some new people just in the last few weeks.So we continue to be able to pick up producers that help us grow on the other side. And again, I think from an economic standpoint, some markets are better than others and we're clearly seeing the ability to grow in Texas.
Jon Arfstrom: Okay. That's good. That's great. And then Chris maybe for you in your prepared comments you talked about deposit attrition being a little bit less than what you typically see. Can you point to any reason why it was less worse or a little bit better?
Chris Bagley: That's a great question. We do know we have always -- we've always had seasonality in the second quarter. I think it's a function of our folks competing and our focus on deposits. We talk about deposits all the time and give them the tools to protect relationships. So I think it's our folks protecting deposits.
Jon Arfstrom: Okay. And then Dan one follow-up for you on M&A. One of your bullet points your current focus you talked about improved technology offerings and you probably have your finger on the pulse as much as anyone in terms of what the small banker is thinking. We always hear that bigger banks have better technology and smaller banks can't compete. Do you ever hear that from sellers? Is that ever a reason for selling or are the reasons just the same as they've always been?
Dan Rollins: Sure. Maybe not directly the way you said that. So you know, I would tell you that I think the small bankers have the ability to offer any product that the big mega banks can offer. You're going to pay-per-click and the three big tech providers that are out there offer products that the small banks can buy and offer.The issue becomes can they maintain it? Can they support it? What product set can they run? So our experience has been many times some of the banks that we're talking to, while they may have one part of a technology piece, they may not have all of them because they can't support all of them from treasury management to other products to the ability to do deposits remotely. They -- everybody's got some weakness. It's more a size-driven I think than technology-driven. Technology is out there for people to buy. But yes that still comes back to the question of how do we continue to compete if we can't support all of the products and all of the things that the bigger boys are able to bring to the table.There's a lot of talk around, how do we compete both how do we compete in a lowering rate environment when the world thought rates were going up how do we compete with the continuing technology and the cyber threat. So I think from a technology standpoint maybe it's not product as much as it's wearing the smaller banks, Jon, as it is the cyber threat and can they -- and we've got a bunch of people that are protecting our stuff all the time, and we think we're vulnerable and you talk to the small banks, they've got to outsource all of that and they're vulnerable to that.
Jon Arfstrom: Yeah. Okay. All right. Thanks for the help guys. Good job.
Dan Rollins: Thanks Jon. Appreciate it.
Operator: This concludes our question-and-answer session. I would like to now turn the conference back over to Dan Rollins for any closing remarks.
Dan Rollins: All right. Thank you very much. Thank you all for joining us today. If you need any additional information or have further questions, please don't hesitate to reach out to us. Otherwise, we look forward to speaking to you all again soon.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.